Operator: Hello and welcome to the Electrovaya Q3 Fiscal 2021 Financial Results Analysts Conference Call and Webcast. At this time all participants are in a listen-only mode. [Operator Instructions] A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Its now pleasure to turn the call over to Executive Vice President and CFO, Richard Halka. Please go ahead, sir.
Richard Halka: Thank you, Kevin. Good morning, everyone and thank you for joining us on today's conference call to discuss Electrovaya's Q3 fiscal year 2021 third quarter financial results. Today's call is being hosted by Dr. Sankar Das Gupta, CEO of Electrovaya and myself, Richard Halka, Executive Vice President and CFO. And we'll be joined in the question period by Dr. Raj Das Gupta, Chief Operating Officer. On August 9, 2021, Electrovaya issued a press release concerning its business highlights and financial results for the third and 9 months period ended June 30, 2021. If you would like a copy of the release, you can access it on our website. If you want to view our financial statements and management discussion and analysis, you can access those documents on the SEDAR website at www.sedar.com. As with previous calls, our comments today are subject to the normal provisions relating to forward-looking information. We will provide information relating to our current views regarding trends in our market, including the size and potential for growth, and our competitive position in our target markets. Although, we believe those expectations reflected in such forward-looking statements are reasonable, such statements involve risks and uncertainties and actual results may differ materially from those expressed or implied in such statements. Additional information about factors that could cause actual results to differ materially from expectations and about material factors or assumptions apply to making forward-looking statements may be found in the Company's press release announcing the fiscal 2021 third quarter results, and the most recent annual information form and management's discussion and analysis under risks and uncertainties, as well as in our other public documents filed with Canadian Securities Regulatory Authorities. Also please note that all the numbers discussed on this call are in US dollars unless otherwise noted. And now I'd like to turn the call over to Dr. Sankar Das Gupta. Sankar?
Sankar Das Gupta: Thank you, Richard, and good morning everyone. I would like to start this morning by taking a minute to review you Electrovaya's Q3 financial progress and Richard will go over it in details later on. Our balance sheet strengthened quite nicely with current assets going down, liabilities - current assets going up, liabilities going down and equity deficiency was reduced. Revenue was $1.9 million, there is some quarter-to-quarter changes happening there. Gross margins is in the 30s. And most importantly for us is that the strategic supply agreement, which we signed in December 2020 with the largest OEM with Raymond Corp, which is a premium electric brand for Toyota is now started gaining momentum with early adopters and the Fortune 500 folks. If you look back, why is folks like in these major corporations teaming up with Electrovaya? The differentiation is Electrovaya's unique technology. So Electrovaya's unique technology gives very high safety in the cells, modules and batteries, very high longevity and cycle life, and we have a strong IP covering large number of our products and processes and systems. The other initiative we did in Q3 FY 2021 was starting the Electrovaya Labs. This was a new division, and it's a research focus for the next-generation batteries. The next-generation batteries, which we have been working on are some very exciting products. We've started our chemistry experimental work at the Sheridan research facilities and the work is continuing on solid state cells. We have filed an interesting patent there. We are making coin cells fabricated with lithium metal anodes and interesting results coming out. There is some novel electrode processing technology also being developed. So again, the Electrovaya Lab has been an important area. We are also going after the emerging markets, whether it's the electric materials handling vehicles, electric buses, electric trucks. And the climate change mitigation, the battery is the enabling technology. And yesterday's UN report was quite horrific and suggest that we should all move in greatly. So, going back to the channels to the market. Last quarter, we are making good progress in direct sales and so - and we have picked up a couple of orders from there and we can see the progress happening on the direct sale side. On the channels. On the OEM strategic sales side, we of course, have been working with Raymond Corp. We signed the agreement in December 2020, and we are gathering momentum for early adopters. They have a return on investment calculator on their website and it really shows very, very rapid returns in a matter of months for a user. So, we will see - so we are seeing the momentum happening. So, Raymond's focused markets is of course, USA and Canada though through its distribution chain, we are seeing orders being placed from Latin America and elsewhere. So, the seeding is happening. We are operating in about over 50 sites in North America. And we are seeing some early demands coming from Argentina and elsewhere. We are - those who can see the slides would see that we are seeding with a lot of new early adopters and these early adopters are now you know, about 50 - over 50 sites and some are fairly large and massive companies. Some are probably the world's largest company, public wise, some are probably some of the largest companies in the private sector. So, we are really pleased that this emerging market, which is a multi-billion dollar market and a very conservative market, if I may say so is started moving and Electrovaya, along with its partner Toyota and Raymond, seems to be leading the charge. I will now turn the call over to Richard to review our fiscal third quarter results in greater details.
Richard Halka: Thank you, Sankar. Revenue for Q3 fiscal year 2021 was $1.9 million compared to $4.8 million for Q3 fiscal year 2020. Revenue for year-to-date fiscal year 2021 third quarter was $7.4 million compared to $7.6 million for the year-to-date to 9 months ended June 30, 2020. Gross margin for the fiscal third quarter was 37% and in the prior year fiscal quarter, 33% for year-to-date fiscal year 2021 compared to 35% and 37% for Q3 fiscal year 2020 and Q3 fiscal year - and year-to-date fiscal 2020, respectively. Our objective is to maintain the gross margin in the 30% to 35% range. Our margins vary with a number of factors, including product mix, special customer pricing, material costs, shipping costs, foreign exchange movement. In the current fiscal year, there has been an increase in the price of some components, most significantly, the cost of steel, which impacts the cost of the battery enclosures. Management believes that the year-over-year decline in revenue was primarily due to a reduced order volume resulting from a transition in the OEM strategic supply agreement, which was just signed December 2020. As the agreement brought a new corporate sales team, focused on large corporations and management believes the sales cycle is relatively long for this emerging technology. Continued disruptions to the supply chain caused by the COVID-19 pandemic, as well caused some component shortages, which also impacted the company's sales. It appears that the delays have been resolved as the company received a number of significant purchase orders late in Q3 2021 and early into the fourth quarter of fiscal year 2021, as noted in the business highlights above. The majority of the new orders were generated through the OEM sales chain. But the company also received a significant new order through its direct sales channel. Orders were received from both new and repeat customers. The company's financial position improved in - as at June 30, 2021 as compared to June 30, 2020. Current assets increased by 40%, while current liabilities were reduced by 12%, and the equity deficiency was reduced by 61%. The company ended the period with $885,000 of cash, had drawn $2.8 million of a maximum available working capital facility of $5.6, leaving a further $2.8 million available for drawing. The company believes this available liquidity of $3.7 million which is $900,000 of cash, plus $2.8 million in available line, along with the collection of $2.5 million of accounts receivable and conversion of $4.9 million of inventory into salable finished goods is adequate working capital to support its operating activities for the next 12 months. I would now like to turn the call back to Sankar to wrap up.
Sankar Das Gupta: Thank you, Richard. In conclusion, we have exceptional battery performance and as our OEM partner shows, the return on investment is very, very high. So it's - we believe this is a game changer happening with industry-leading cycle life and safety, with excellent energy and power, and we are seeing that early adopters moving towards us. We've also started the Electrovaya Labs, which starts commercializing lot of pent-up technology, which is sitting inside Electrovaya, including the next-generation solid state cells and some unique electrode processing technology. On the marketing side, as we had mentioned earlier, in the materials handling sector alone, we are now over 50 locations, probably hitting nearly 60 by now. And this is a very large market. If you - with an addressable 1 million to 2 million electric vehicles in this materials handling space, it's a conservative market and we are seeing early adopters moving into the space and moving into Electrovaya and its partners. We are also looking at the emerging markets, the electric bus market, the electric truck markets and the automated guided vehicles market. We believe 2022 and 2023 will be the growth areas for the electric buses and the electric trucks. The whole sector may accelerate with the new climate change mitigation approaches, which the governments have - are being encouraged to take and we look forward to that. And finally, on the US listing, it is an ongoing process and of course, the Board and others are reviewing this. So at this time, this concludes our remarks this morning. Richard, Raj and myself would now be pleased to hold a question-and-answer session. Those asking the questions and Kevin might be able to help us is - will need to phone in to...
Richard Halka: And just to reiterate the number to phone in is 877-407-8291, if you would like to ask a question.
Operator: Exactly. For those on the web, if you'd like to ask a question, you must dial in to ask a question. [Operator Instructions] Our first question today is coming from Gianluca Tucci [ph] from Torrent Capital. Your line is now live.
Unidentified Analyst: Hi. Good morning, guys. It seems like the visibility on the Raymond side has cleared up according to the remarks. Can you kind of talk about that or dive a bit deeper what's changed today from a few months ago and what gives you that confidence and the visibility in that channel's growth?
Richard Halka: I think - good morning, by the way, Gianluca. I think that there is a number of factors at play here, it's just not one thing. First of all, I think that the entire Raymond organization, the sales side of it, needed time to really get up to speed, market to their Fortune 500 customer base and really understand the product. And the sales cycle with those end customers tends to be longer. But, what we found now is we're getting a lot of what we would call seeding orders and now we're starting to get repeat orders as well. So we feel that, that sort of piece has moved on. I think another thing that entered into it, there were some - didn't affect us quite so much, but there was some supply chain issues you know, in terms of specific components, everyone knows about the chip market. And I think that can affect the ordering cycle and the manufacturing cycle for companies like Raymond and our delivery cycle. So, I think those things seem to have cleared up now and are hopefully behind us. But I'll also move it over to Raj, who's much better positioned to answer.
Raj Das Gupta: I think some of the - there's some great progress made over the last several months in, as Richard mentioned, in some of these - what we would call, seeding customers where they are buying relatively low numbers of units, but these are customers who have serious large potential. And then, of course, we did announce a few weeks ago that there was a - some significant - relatively significant sales driven through the OEM channel, which - and those particular customers are very significant.
Unidentified Analyst: Okay. And I guess, can you kind of back into - in the press release, it was talked about some significant advances in the e-bus vertical has been made. Can you talk about like what that exactly entails and how do you envision that kind of roll out? Does that mean that there's partnerships in the hopper [ph] or how should like we be thinking about the company's pursuit in the e-bus vertical?
Richard Halka: I think that there's not too much we can add to this, except what we had said in our releases in MD&A, which is that when we issued our first battery, it generated a lot of interest in the market when we launched that. We have had very active discussions with a number of parties. We are not at a point where we can add much more than that. But we are very positive about this sector, as particularly moving into 2022 and 2023, as Sankar has pointed out.
Sankar Das Gupta: Raj?
Raj Das Gupta: Yes. And we do have - this product of ours was in development for some time. We do have prototypes operating in the field and as Richard mentioned, the response from the OEM side has been pretty strong and we're in discussions with a few vendors there.
Sankar Das Gupta: And timing wise, it will be 2022 and 2023 a lot driven by both President Biden's budget for - I think he's about $20-odd billion and Premier [ph] Prime Minister, Trudeau's, $2.5 billion for supporting electrification. So as those budgets pass back, so you can see.
Unidentified Analyst: Okay. That's good color. Thank you. And then just lastly, can you give us an update on the status of the NASDAQ listing and how that initiative stands today?
Richard Halka: Yes. As we mentioned in the press release, our Board and management team are looking at the capital markets and we have to assess the risks and benefits for our shareholders of that. And at this point, there's been no decision made to move ahead with our plans. We are, of course, keeping all our options open very actively, but no decision has been made at this time. And we're very, very carefully watching the capital market situation. We want to do something that's the right thing for our shareholders. We want an accretive transaction here, not something that is going to work to their detriment. So we're very, very focused on that.
Unidentified Analyst: Okay, thanks guys. That's all. Thank you.
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Sankar Das Gupta: That concludes our call. Thank you again for listening in this morning. We look forward to speaking with you again after we report our annual numbers for fiscal year 2021. In the meantime, we wish you all good health. Thank you.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time. And have a wonderful day. We thank you for your participation today.